Operator: Greetings, and welcome to The Eastern Company's Fourth Quarter Fiscal Year 2022 Earnings Call. At this time, all participants are in a listen-only mode, and a question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to turn the conference over to your host, Mr. Ernie Hawkins. Please go ahead.
Ernie Hawkins: Good morning, and thank you to everyone for joining us. Speaking today will be Eastern's President and CEO, Mark Hernandez; and our CFO, Nicholas Vlahos. After that, we'll open the call for questions. Please note that some of the information you will hear during our discussion today will consist of forward-looking statements about the company's future financial performance and business prospects, including, without limitation, statements regarding revenue, gross margin, operating expenses and other income and expenses, taxes and business outlook. These forward-looking statements are subject to risks and uncertainties that could cause actual results or trends to differ significantly from those projected in these forward-looking statements. We undertake no obligation to revise or update any forward-looking statements to reflect events or circumstances that occur after the call. For more information regarding these risks and uncertainties please refer to risk factors discussed in our Form 10-K for the fiscal year filed with the SEC on March 14, 2023, and our other filings with the SEC. In addition, during today's call, we will discuss non-GAAP financial measures that we believe are useful as supplemental measures of The Eastern's performance. These non-GAAP measures should be considered in addition to, and not as a substitute for or in isolation from, GAAP results. A reconciliation of each of the non-GAAP measures discussed during today's call to the most directly comparable GAAP measures can be found in the earnings press release available on our website at www.easterncompany.com, under the Investor Information tab. With that, I'll turn the call over to Mark for opening remarks.
Mark Hernandez: Thanks, Ernie, and good morning to those who have joined us on the phone and those participating via the web. We released Eastern's fourth quarter and full year 2022 numbers in our Form 10-K yesterday afternoon. Before I get into the financial figures, I would like to introduce myself to our shareholders and investor community. I have been in commercial vehicle industry for 29 years, mostly manufacturing trucks under the Freightliner international brands as well as managing supply chain operations in those brands. I am well positioned to understand the dynamics of the companies that make up The Eastern Company, especially after serving as an Independent Director on the Board. After a thorough analysis of working capital, return on invested capital, onshoring and other key ratios, The Eastern Company is positioned for solid operating results and future growth. Of course, our greatest asset is our people, and they are the team that will deliver the results. So that is one of my key areas of focus along with solid operating performance. Prior to Nick's review of the detailed results, I would like to take a few minutes to reflect on the year. 2022 represented a year of continued transformation and focus on our operations for long-term growth and shareholder value creation. Each of our businesses experienced varying degrees of instability due to freight bottlenecks and cost fluctuations for freight and raw materials. Our team continued to execute in a very challenging market environment. All of our businesses experienced supply chain disruptions and increase in freight and raw material costs. We were able to partly offset these costs through timely price increases and cost recovery actions. We also reduced late deliveries through active sourcing and supply chain management and ended 2022 with working capital as a percentage of sales of 26.1% compared to 27.2% at the end of 2021. We were also able to divest our last remaining non-core business, Argo EMS, and will allow us to focus on our core capabilities and offerings. In all, I believe our execution in 2022 underscores the quality of the leadership team we have built. Nick will now take you through a more detailed commentary on the fourth quarter and full year results.
Nicholas Vlahos: Thank you, Mark, and good morning to everyone who is on the call today. For the fourth quarter of 2022, net sales from continuing operations increased 16% to $69.1 million from $59.6 million in the fourth quarter of 2021. Sales increased primarily due to higher demand for truck accessories, distribution products and automotive returnable packaging and improved pricing. Sales volumes of existing products increased 10.5%. Prices and new products contributed 5.3% in sales growth in the fourth quarter of 2022 when compared to sales in the fourth quarter of 2021. New products included various truck mirrors, latches and accessories. For the full year 2022, net sales from continuing operations increased 13% to $279.3 million from $246.5 million in 2021. Gross margin as a percentage of sales for the fourth quarter of 2022 was 17% compared to 20% in the prior-year fourth quarter. The decrease reflects the combination of higher material, freight cost and other inventory write-offs. Gross margin for the year as a percentage of sales was 21% in 2022 compared to 23% in 2021. Product development expenses in the fourth quarter of 2022 were $1.1 million, were flat when compared to the fourth quarter of 2021. As a percentage of net sales, product development expenses were 1.5% compared to 1.7% in the fourth quarter of 2021. These expenses are primarily related to our investment in new products at Eberhard and Velvac. Selling and administrative expenses in the fourth quarter of 2022 increased 1.1% when compared to the fourth quarter of 2021. The increase was primarily the result of increased payroll and payroll-related expenses, increased travel and other selling expenses. Restructuring expenses of $0.7 million were recognized in the fourth quarter of 2022 due to warehouse consolidation in Eberhard. Net income from continuing operations for the fourth quarter of 2022 decreased to $0.2 million or $0.03 per diluted share from $3.9 million or $0.62 per diluted share in 2021. For the fourth quarter of 2022, net income was negatively impacted by restructuring costs of $0.5 million net of tax related to a warehouse consolidation into Eberhard. For the full year 2022, net income decreased 32% to $11.1 million or $1.77 per share from $16.2 million or $2.58 per diluted share. Adjusted EBITDA from continuing operations for the fourth quarter of 2022 were $3.3 million compared to $5.7 million in the fourth quarter of 2021. Adjusted EBITDA from continuing operations for the full year decreased 9% to $24.3 million from $26.7 million in 2021. Finally, a quick summary of cash flow and balance sheet highlights. For 2022, net cash provided by operating activities was $7.3 million compared to $7.8 million net cash used in operating activities in 2021. In 2022, we contributed $0.2 million to our defined benefit retirement plans. During 2022, cash used to support additional working capital requirements was $5.2 million, which was primarily due to management's focus on ensuring availability of inventory to meet customer demands during current supply chain constraints. In 2021, cash used to support additional working capital requirements was $22.9 million. Total capital expenditures for 2022 were $3.4 million, and we expect capital expenditures in fiscal 2023 of approximately $6.9 million. In 2022, the company made total debt payments of $17.5 million, of which $10 million was a repayment of the $10 million drawn under the revolving credit facility during 2022. As of December 31, we had cash and cash equivalents of $10.2 million. Our net leverage ratio at the end of 2022 was 2.27, down from 2.46 at the end of fiscal 2021. With that, I'll turn the call over to Ernie for questions.
Ernie Hawkins: Thanks, Nick. Operator, I'd like to open the line for questions. I see that we have some questions from the webcast. We'll address those questions first. And then turn to questions on the line.
A - Ernie Hawkins: So, our first question is how does the change in management affect Eastern's overall strategy?
Mark Hernandez: I'll take that one, Ernie. We maintain our commitment to organic growth and acquisitions. In the short term, we plan to focus on people, processes and systems to improve our operations.
Ernie Hawkins: Okay. Our next question, what is your view on the likelihood and impact of an economic downturn?
Mark Hernandez: We are monitoring demand closely and not just demand by our customers, but also demand by their customers. Right now, demand remains strong. Industry forecast for many of our markets remain strong and our backlog is solid. Despite these encouraging signs, we know how fast conditions can change on us. We began to prepare our plans so that we are ready to respond quickly if you see -- if we see any softening of our end markets. We have eliminated all non-essential travel, hiring and other discretionary expenses.
Ernie Hawkins: Okay. Another question. How is Eastern reacting to the recent turmoil in the banking system and continued increases in interest rates?
Nicholas Vlahos: Sure. During our loan syndication process, we perform credit reviews of the banks that we want to engage with. We also maintain redundancy in banks for operating accounts. Over 60% of our $64 million of outstanding debt is covered by an interest rate swap agreement, which minimizes the impact of interest -- of rising interest rates.
Ernie Hawkins: Okay. Another question. Can Mark describe his experience and how it's relevant to operational excellence and getting margins up? And what are his immediate plans in more detail?
Mark Hernandez: So, like I said in my introduction, I spent 29 years in commercial vehicles. And if you look across our three companies, they're all tied to commercial vehicles in some sense from Eberhard as direct OEM supplier, as well as Velvac being a direct OEM supplier, as well -- and as well as running supply chain. So, I understand the returnable racks situation. My time at McKinsey has taught me to deal with the facts on the table and the ratios that are in front of us so that we can improve our operating performance going forward, which means that we may have to make tough decisions, but we have to always keep our eye on the numbers and how to move them forward. Being a lean manufacturing expert, I would say, is that there's ways of doing that, that don't necessarily involve people, but they may need to involve people at some point.
Ernie Hawkins: Okay. Another question. From a 30,000-foot perspective, can you please comment on your strategy going forward for each of your core businesses? It appears that your focus is now much more on organic growth. Now that your divestitures are complete, wouldn't now be a good time to start seeking acquisitions to build scale in these businesses?
Mark Hernandez: Yes. Along with my background, one of the things I came in and did was a complete analysis of the companies and where we are with our current holdings, and looking at each business opportunity and where we're not cost effective on some of our offerings as well as increasing our price margins so that we can make sure that our ratios are within line with our operating results.
Ernie Hawkins: Okay. Very good. Okay. Operator, do we have any further questions on the line?
Operator: Yes, sir. We have a question from Ross Davisson with Banneton Capital. Please go ahead.
Ross Davisson: Hey, good morning. Thanks for taking the question. I wanted to ask about gross margin specifically. There was a big step down, obviously, both from the prior year, but also even larger sequentially. I was hoping you could provide some more detail on kind of what are the moving pieces there and kind of what led to that change?
Nicholas Vlahos: Yes. So, we continue to see increases in material and freight costs that have not completely flushed through the inventory of the P&L yet. This is more of a timing issue from a capitalization of the inventory. And in addition to that, we recorded some inventory adjustments in Q4 to adjust our inventory to our actions.
Ross Davisson: Okay. Thanks. And are you able or willing to quantify how much was that? It sounds like a one-time adjustment.
Nicholas Vlahos: We cannot quantify that right now.
Ross Davisson: Okay. And just stepping back more generally, obviously, raw materials have been volatile, I guess, is an understatement. Reflecting on the year and maybe year-to-date, do you feel like Eastern, across its different businesses, has been able to and successful in recovering those changes, albeit with a lag?
Mark Hernandez: Yes, that's, [except] (ph) in the commercial vehicle industry, something we deal with in a cyclical business, especially when indices change. In some cases, we were very aggressive in getting our cost recoveries. But in other cases, we probably weren't as strong as we needed to be. Going forward, though, we will be looking at what is reasonable based on indices as well as freight indices going forward to make sure that we're covering our costs and we're not seeing increases in cost of goods sold or other aspects of our businesses.
Ross Davisson: Great. Thanks. That's helpful. And just looking ahead, where do you feel -- I mean, if you just kind of think about -- I guess I'm just reacting to how much lower gross margin was this quarter and just trying to wrap my arms around sort of is there a change in the business, or are those historical gross margin rates still where you would expect to be over time?
Nicholas Vlahos: Yes, we do expect to get back to our historical gross margin rates. It was more of timing issues than anything in the past year.
Ross Davisson: Okay. And then just last question, just switching gears. Obviously, there's a lot of activity around new platforms with the OEMs, with the EVs. I was hoping you could comment sort of what are you seeing? And do you feel like you're getting your sort of fair share there as that business sort of -- as the OEMs business evolves towards new platforms?
Mark Hernandez: So, we're participating with the OEMs and their development of their transport electrification. As the heavy-duty over-the-road trucks become more and more relevant to the electrical vehicle space, air drag is going to be very significant. So, we participate very favorably in those bid processes with the OEMs to help them with the transition. I feel we're well positioned to be a strategic partner with the OEMs as they develop their over-the-road vehicles.
Ross Davisson: Okay, great. Well, thanks, Mark. Thanks, Nick. I appreciate it.
Operator: Thank you. We have a question from [Roger Brooks] (ph), who is an investor. Please go ahead.
Unidentified Analyst: Good morning, Mark, and I wish you as a large shareholder the best of luck. But I have two questions. Number one, with freight costs getting back to somewhat normalcy, even though you just stated that they weren't completely, and supply chain restraints as well getting back, you were handed the baton on January 10 of this year, and it looked to me as a stakeholder that the previous management team was a train wreck in regard to the third and fourth quarter of this year. I'd like to know how you're going to approach getting Eastern back to where it should be.
Mark Hernandez: Hello, Roger. One thing is, look, we have to focus on our operating performance. And that means looking at our SG&A and our cost of goods sold and make sure they're in line with our expected ratios for sales -- return on sales as well as return on invested capital. Freight costs haven't -- they've only recovered by about -- off the top of my head, about 30%, I believe, but we still look going forward. We have -- we're looking at both pieces, Roger, what are the margin piece -- what is the pricing piece? And what is the cost piece? And we're going to focus on both. We can't wait to do either or. So, things like cutting all spending right now while we do this recovery is going to be consistent or it's going to be necessary as we dig out of this transition period going forward in 2023. Now I do know that the commercial vehicle market still is strong in demand. So, with those activities that we're starting already, we look to position both the pricing and the cost side of the business so that we can get the margins back to where they need to be.
Unidentified Analyst: Okay. So just a follow-up question. I'm sure that management, Board of Directors and everyone is not proud of what's going on with the common stock today on NASDAQ. I'm certainly not. And I'm not trying to be negative, but it appears to me that I'm hoping that the fourth quarter expense side is pretty much cleaned up and won't carry forward into the first and second quarter of 2023. And that would be a hope, and I wonder if somehow you could try to answer that question.
Nicholas Vlahos: Unfortunately, that's providing future guidance, and we don't provide future guidance for that, Roger.
Unidentified Analyst: Okay. Well, once again, best of luck, and I'm just hopeful that the company is not [mirroring] (ph) what the stock is, down almost 20%, 22% today. So, we look forward to better reports by the new management, you and Nick, and let's get this football team going once again. Thank you.
Mark Hernandez: Thank you.
Operator: Thank you. As we have no further questions in queue at this time, I will hand it back to Mr. Ernie Hawkins for any closing comments you may have.
Ernie Hawkins: Okay. So, with that, I'll turn the call over to Mark for closing remarks.
Mark Hernandez: Thanks, everyone, for joining us this morning. We are pleased by the continued acceleration in demand of our products and services across all our businesses. The strength of our backlog provides us with a great deal of comfort and confidence that we will sustain growth across our businesses in the coming quarters. Supply chain and inflation-related pressures aside, we are optimistic about the remainder of this year and our longer-term future. Over the last year, our team has been increasingly effective at managing supply pressures and volatile raw material costs and have driven drastically better throughput. Our team is committed, resilient and prepared for the challenges ahead, and we are well positioned to capture the opportunities in front of us. We all share a great sense of optimism and urgency to show you what we are truly capable of delivering.
Ernie Hawkins: Thanks, Mark. With that, I'll hand the call back to the operator.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day, and we thank you for your participation.